Operator: Good morning, everyone. Welcome to Exchange Income Corporation's conference call to discuss the financial results for the 3 and 6 months ended June 30, 2025. The corporation's results, including the MD&A and financial statements, were issued on August 11, 2025, and are currently available via the company's website or SEDAR+. Before turning the call over to management, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provision of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the quarterly and annual MD&A, the Risk Factors section of the annual information form and EIC's other filings with Canadian securities regulators. Except as required by Canadian securities law, EIC does not undertake to update any forward-looking statements. Such statements speak only as of the date made. Listeners are also reminded that today's call is being recorded and broadcast live via the Internet for the benefit of individual shareholders, analysts and other interested parties. I would now like to turn the call over to the CEO of Exchange Income Corporation, Mike Pyle. Thank you. Please go ahead, Mr. Pyle.
Michael C. Pyle: Thank you, operator. Good morning, and thank you for joining us on today's call. With me today is Richard Wowryk, our CFO, who will speak about our quarterly financial results, along with Jake Trainor and Travis Muhr, who will speak about our outlook for our 2 operating segments. Adam Terwin and Dave White are also on the call and will be available to respond to any specific questions on Canadian North and the long-term air services agreement that was announced subsequent to quarter end. Yesterday, we released our second quarter results for 2025. Our performance in the second quarter continued to be very strong for each of our key financial metrics. Once again, we set Q2 high watermarks for each of our key metrics, including revenue, adjusted EBITDA, free cash flow, net earnings and adjusted net earnings. In fact, our revenues of $720 million were the highest achieved in any quarter in our history. Subsequent to quarter end, we announced the closing of the Canadian North transaction. Equally important was the signing of the agreement with the government of Nunavut for our long-term services, whereby Canadian North and Calm Air will be the sole provider of their services for all 3 regions in Nunavut. The Canadian North acquisition is highly strategic for EIC as adding its infrastructure and assets and management team ensure that EIC has a unique value proposition for our customers and the government of Canada. Jake will talk further about some of the opportunities that exist for EIC with Canadian North as part of the family. We also updated our 2025 EBITDA guidance and increased the range to $725 million to $765 million, which now includes the financial results of Canadian North. The seasonality of Canadian North is relatively consistent with our other Essential Air businesses. As a reminder, we previously noted that the returns being free cash flow less maintenance CapEx will be muted in the short term, but are expected to meet our return expectations by the end of 2026. These record results were generated during a time of uncertainty with business sentiment being weak at the start of the quarter due to the uncertainty related to trade policies and geopolitical events. This quarter, however, is another example of how diversified and resilient our businesses are in times of uncertainty. EIC continues to generate strong returns even when the world is experiencing difficult times. The impact of tariffs was not material to EIC overall. However, it did negatively impact our multistory window solutions business line as they more than -- the tariffs more than offset the productivity and profitability gains we achieved from our integration activities. We continue to be bullish on the long-term fundamentals within that business line, and we are reviewing all options to mitigate the tariffs as we move forward through manufacturing decisions and changes in our supply chain. Ultimately, I believe that Canada and the U.S. will come to an agreement and hopefully will have reduced tariffs in the longer term as the 2 economies are so directly intertwined. Our remaining subsidiaries did not experience any direct impact from the tariffs other than reduced business sentiment, which deferred some purchasing decisions from our customers during the quarter. We are still seeing significant number of inquiries throughout the businesses, especially as we exited the quarter. As customers realize that this trade environment is now the new norm, I believe that business sentiment will gradually improve and the number of firm orders will continue with a step-based improvement, especially now that legislation has passed in the U.S., which provides accelerated tax deductibility. Subsequent to quarter end, several of our manufacturing entities received purchase orders, including our multistory window solutions business line, which booked approximately $100 million in new projects. We expect that this positive momentum will continue throughout our various business lines. Our results were also impacted by the forest fires experienced across Canada. Most importantly, my heart goes out to these who have been displaced from their communities and from their homes. EIC was there to support these communities in evacuation efforts, and we are currently providing capacity to repatriate the community members back home. Our rotary wing operations were also very busy in fire suppression work. The impact on the communities is first and foremost on our thoughts. However, it did impact our quarter as well. The evacuation flights provide a short-term improvement to our charter operations. However, it subsequently had a negative impact on our scheduled service and medevac operations in those communities, which are no longer populated. I will let Rich focus on the financial results for the operating segment. However, prior to passing off the call, I wanted to provide some context on a couple of items. We will continue to have significant liquidity available to us. We had drawn the funds for the Canadian North acquisition prior to quarter end, which is why the cash balance was in excess of normal amounts. Our leverage ratios continue to be at the low end of the historical range, and our balance sheet continues to be very strong, which will allow us to execute on organic growth opportunities and/or acquisitions. I also wanted to give my regular update on the status of significant contract proposals that remain outstanding. During the fourth quarter of 2024, we submitted our proposal to the Australian government for their maritime surveillance contract. We previously anticipated hearing the results of the award by July. However, the May election in Australia delayed the bid evaluation process. And therefore, we anticipate hearing on the results sometime in the third quarter. As I previously commented, we believe we put together a very strong bid, and we expect to have as good a chance as any other bidder. Additionally, within the geopolitical climate, we continue to see significant interest from several other countries for additional ISR assets, and we are working with several governments in developing solutions to their needs and have several discussions with those involved in the procurement process. Our second aircraft for the U.K. home office contract has been fully modified and is waiting regulatory certification in the U.K. and is expected to start flying later this month. We crossed and significantly exceeded another milestone being the $3 billion equity market capitalization. Our collective team is very proud of this achievement, and it's a recognition of our business model. The year-to-date results are a very strong start to the year and continue to show the strength of our business model, which is starting to be reflected in our share price. The demand for our services and products is very robust. Jake and Travis will focus on the outlook for our segments for the remainder of 2025. Lastly, we will provide the market with our expected adjusted EBITDA guidance for 2026 at our third quarter conference call in November, consistent with our past practice. I will now pass the call over to Rich.
Richard Wowryk: Thank you, Mike, and good morning. For the second quarter of 2025, revenue of $720 million, adjusted EBITDA of $177 million, free cash flow of $123 million, net earnings of $40 million and adjusted net earnings of $47 million were all second quarter records. Revenue in our Aerospace and Aviation segment increased by $28 million or 7% to $455 million. Adjusted EBITDA increased by $13 million or 10% to $148 million. Looking at the Essential Air Services business line, the improvements were driven by a couple of key factors. First, historic organic growth capital expenditures over the past number of years to both satisfy increased demand and contract wins in our medevac operations, primarily related to the BC and Manitoba medevac contracts drove increases in revenue and profitability, including enhanced scope in multiple markets. Second, the quarter experienced strong firefighting activities, which resulted in evacuation flight and rotary ring fire suppression. Lastly, while load factors were strong in the first part of the quarter, scheduled service and medevac volumes experienced decline in the latter part as a result of Northern communities being displaced temporarily and not requiring services. Our aerospace business line revenues and profitability were lower due to the planned wind down of certain training programs prior to the start of new programs and contracts. Additionally, one of the aerospace contracts changed from a performance-based logistics agreement to a time and materials arrangement, which results in more variability when comparing quarters. Our aircraft sales and leasing business line increases were driven by continued improvement in leasing activity and robust parts demand. We are seeing significant demand in our leasing business for the aircraft and even more so on the engine side. Partially offsetting those increases was a reduction in log asset sales to the prior period. Those sales are generally lower margin transactions and more lumpy than our traditional parts and leasing business. Revenue in our manufacturing segment increased by $31 million or 13% to $265 million. Adjusted EBITDA increased by $9 million or 26% to $44 million. Our Environmental Access Solutions business line had increased revenues and adjusted EBITDA driven by the acquisition of Spartan, which had significant demand for its composite maps. As previously discussed, the Spartan team is evaluating several existing locations to have our second plant based on the longer-term secular trends. In the Canadian market, we saw a decrease in adjusted EBITDA due to a change in product mix as we saw greater mat sales compared to rental mats as certain rental mat projects were deferred into the latter portion of 2025 and into 2026. As expected, our multistory window solutions business revenue decreased due to customer deferrals and related production gaps. Profitability was further negatively impacted in the short term by aluminum tariffs. We have taken steps to mitigate the impact of tariffs, including changes in supply chain. However, those take some time to identify and set up new suppliers to meet demand and quality requirements. Subsequent to the end of the quarter, we did see instances of being instances of inquiries being converted into bookings with over $100 million in bookings. We are encouraged that booking trends will continue to improve in the back half of the year due to the geopolitical trade risks becoming more normalized and businesses willing to deploy capital. Our Precision manufacturing and engineering business line had another solid quarter from a revenue and profitability perspective. It was driven by customer demand across several industries, including telecommunications, technology, resource and data centers. Overall, net earnings were $40 million for the second quarter, which was an increase of $7 million or 23%. The higher adjusted EBITDA and reduced interest expense was offset by increased depreciation and amortization due to the acquisition of growth capital investments and increased acquisition costs related to the Canadian North transactions because of its complexity. Earnings per share increased to $0.78 per share compared to $0.69 in the prior quarter. Adjusted net earnings were $47 million compared to $38 million in the prior year, with an increase in adjusted net earnings per share from $0.80 to $0.92 per share. Free cash flow was $123 million compared to $101 million in the prior year. Free cash flow per share increased from $2.13 to $2.40 per share, while free cash flow maintenance capital expenditures was $57 million compared to $52 million and on a per share basis increased from $1.11 to $1.12. Maintenance capital expenditures in the second quarter of 2025 were $66 million compared to the prior year of $48 million. On a 6- month basis, maintenance capital expenditures were $122 million compared to $88 million in the prior year. Q1 in the prior year was an anomaly on the low end due to the timing of maintenance events. The increase in the current year is due to the timing of events, coupled with the policy based on utilization of aircraft and engines within aircraft sales and leasing as discussed in the first quarter. Growth capital expenditures during the second quarter were $5 million compared to $45 million in the prior year. The second quarter was lower than anticipated as we expect based on current opportunities within aircraft sales and leasing that growth capital expenditures will be incurred in the third quarter, which will reverse the negative second quarter growth capital expenditures. From a working capital perspective, we had an investment of approximately $40 million -- the investment was driven by growth in the business, coupled with deposits of approximately $20 million for assets within our aircraft sales and leasing business line. Subsequent to the end of the quarter, we collected a material government receivable of approximately $19 million to bring the aging of government receivables more in line with historical norms. We are actively managing our working capital and are working with each subsidiary team to convert working capital to cash. The corporation's aggregate leverage, including both its senior credit facility and convertible debentures decreased from 3.36% at December 31 to 3.21% at June 30. Our aggregate leverage ratio remains near historical norms and well within our target. Our M&A pipeline remains strong, along with our liquidity to execute on acquisitions and organic growth initiatives. Maintaining a strong balance sheet has been a hallmark of ESP and allows us to be opportunistic organically and through acquisition. when the right opportunities present themselves. That being said, the liquidity does not change our view on leverage, and we plan to maintain our leverage within our historical range. I will now turn the call over to Jake, who will provide an update for the 2025 remaining outlook for the Aerospace and Aviation segment.
Jake Trainor: Thank you, Rich. Travis and I once again split up the outlook section, and I'll focus on the Aerospace and Aviation segment. Travis will provide context on the Manufacturing segment. Overall, we're expecting a strong last 6 months from a revenue and adjusted EBITDA perspective from our Aerospace and Aviation segment for several key reasons. The most significant will be the inclusion of the operating results of Canadian North due to the completion of the acquisition on July 1. Taking a step back, the Canadian North seasonality is relatively consistent with our Essential Air Services operations with their second and fourth quarters being relatively similar the third quarter being the strongest and the first quarter is the seasonally weakest due to demand and weather factors. Secondly, we anticipate strengthening results due to growth capital investments made for the contractual wins announced over the past several years, including contributions from the U.K. home office and second aircraft, which is expected to start flying in late August upon regulatory approval. I'll discuss the specific growth factors by business line. Our Essential Air Services will see growth driven by a multitude of factors when compared to the prior period. The first and most significant will be the addition of Canadian North. We also anticipate strong load factors and growth across our legacy networks when compared to 2024. We had experienced strong load factors in Q1 and in early Q2 and then those were replaced by evacuation flights in Manitoba and Northern Ontario due to wildfires. The load factors, specifically in Manitoba were then reduced in the latter portion of the quarter as communities that were displaced and therefore, revenue and profitability of scheduled services were negatively impacted. During the last 6 months of the year, we do anticipate a normalization of results. Lastly, we expect continued growth in our medevac business because of increases in scope compared to the prior year. We anticipate receiving approximately 8 to 10 of the new King Air 360 aircraft under the BC Medevac contract by year-end, which will allow us to redeploy the pre-existing aircraft throughout our other operations, including the Newfoundland and Labrador fixed wing medevac operations. Offsetting some of these gains is the impact of continued labor shortages and supply chain challenges, -- we're not seeing a worsening of these dynamics. However, the challenges still remain specifically on aircraft parts and consumables as well as on aircraft maintenance labor. The Aerospace business lines' revenue and EBITDA are expected to increase as the prior year comparables in the third and fourth quarters have started to reflect the wind down of training contracts and the conversion of the aerospace support contract from a performance-based logistics agreement to a time and materials arrangement. These increases are expected to be driven by the second aircraft deployed onto the U.K. home office contract and continued strong tempo flying for owned ISR assets. Our aircraft sales and leasing business is also expected to experience growth, as Rich talked about the investment in both working capital for future parts sales and investment in aircraft and engines within the leasing portfolio anticipated within the third quarter. We continue to expect growth in the leasing revenues as we place those aircraft and engines on lease. With the increase in inventory, we also anticipate greater parts sales throughout the year, assuming we can access MRO slots. Taking a step back, I wanted to focus on the strategic benefits of the Canadian North transaction for the longer term for EIC as a whole. We believe that the Canadian North infrastructure and aviation assets, coupled with our existing operations provide us with a unique offering to meet the development needs of the North. As the Government of Canada renews its focus on development, security and sovereignty within the North, EIC's comprehensive portfolio, including advanced aerospace solutions, sovereign Arctic aviation, defense enabling infrastructure, in-country defense manufacturing and our extensive network of partnerships with indigenous communities and businesses uniquely position the company to lead and support these critical initiatives. We will proactively have discussions with the government and our customers about how EIC can support them in achieving their NATO targets and development in the North. We expect maintenance CapEx expenditures to increase for a number of reasons. Firstly, due to the addition of Canadian North, we noted that the first year returns are expected to be muted due to higher-than-normal maintenance CapEx expenditures required. When we negotiated the purchase price, we took into account the projected maintenance CapEx expenditures and negotiated a corresponding reduction in the purchase price. Secondly, maintenance capital expenditures are expected to increase in line with increases in our adjusted EBITDA in our Aerospace and Aviation segment. Thirdly, increases in maintenance capital expenditures related to our aircraft and sales and leasing business due to continued strengthening of utilization within our lease portfolio. And lastly, this quarter's maintenance capital expenditures in Essential Air Services were below our internal expectations due to the timing of events, which are expected to be caught up in subsequent quarters. Growth investments in the remainder of 2025 include capital expenditures for 8 to 10 new King Air aircraft, which will be used in the BC Medevac contract. We have received 5 of these aircraft by the end of August. Lastly, Regional One has placed deposits on certain aircraft assets and anticipates executing aircraft and engine transactions during the third and fourth quarters. The business had negative growth capital expenditures during the second quarter, which was an anomaly due to the timing of the execution of opportunities. As a reminder, transactions are only executed if they meet the same financial metrics as applied for acquisitions. I'll now pass it off to Travis to provide some commentary on the Manufacturing segment.
Travis Raymond Muhr: Thanks, Jake, and good morning. We are anticipating continued growth in our revenues and profitability for our Manufacturing segment for the remainder of the year when compared to 2024. This growth is expected for 2 reasons. Firstly, we see the normalization of the business environment for many of our segment subsidiaries, coupled with the annualized impact of Spartan in our Environmental Access Solutions business line. All of the businesses within the Manufacturing segment were experiencing a strong level of customer inquiries at the start of 2025 with some softness experienced as the tariffs were implemented. The tariff uncertainty saw a small reduction from a customer booking perspective in the second quarter, but the business sentiment has been gradually improving as customers began to access the risk landscape. Overall, as Mike had mentioned, as the tariff situation stands today, we have not been directly impacted by the tariffs, except for the aluminum tariffs impacting the multistory window solutions business line during the quarter. The vast majority of our products that we produce are Canada, U.S.A., Mexico compliant and therefore, the broader risk of tariffs would relate to declining business sentiment and supply chain changes, as Richard commented, which do take some time to implement. Our Environmental Access Solutions business line is expected to generate returns higher than the comparative period for the remainder of the year. Spartan continues to experience very strong demand for its composite mat solutions, and we anticipate that they will continue to sell out their manufacturing capacity based on feedback received from customers and testing on the System 7 XT mat. Also, the FO track product line is seeing very strong demand. Due to that demand, we are actively assessing various location alternatives to build a state-of-the-art plant. We see long-term positive trends in the composite mat industry as the geographic and sector usage continues to expand and take market share from the traditional wood mat industry in the U.S. Although we've seen some deferrals in project start dates for our Mat and Bridge solutions business in Canada, we anticipate those projects commencing in the latter part of 2025 and into 2026, which should drive an uptick in mat and bridge rentals. We've talked a lot about our bullish view on the transmission and distribution sector as electric grids have to be expanded and hardened for the new electricity demand, whether it be for electric vehicles or data centers. We also see several tailwinds for the traditional oil and gas and pipeline sectors. As expected, our multistory window solutions business line revenue and adjusted EBITDA is expected to be lower than the comparative periods. We have signaled our expectations in the year-end and first quarter call and the drivers remain the same for the remainder of the year. The period-over-period declines are expected due to: one, the heightened interest rate environment that existed in 2023 and 2024 that resulted in reduced project manufacturing for 2025 as projects booked will be manufacturing in 18 to 24 months after the booking date generally. Secondly, for projects scheduled for 2025, we anticipate margin pressures due to the type of projects booked, coupled with production gaps. We have integrated the manufacturing capacity in Canada by combining certain manufacturing facilities and are seeing the fruits of those activities as we did not profitability increase and benefits. However, those are more than offset by the tariffs. As discussed in our reporting, we cannot alter our supply chains in the short term, and therefore, we're subject to the aluminum tariffs during the quarter. In the longer term, we'll be able to mitigate the impact and optimize production. Quoting in Canada and the U.S. continues to be very active, and we're seeing bookings subsequent to year-end. We are successful in booking approximately $100 million of new projects, and we anticipate this trend to continue as developers become more comfortable with the economic environment we are in. We remain very bullish on this business line as the longer-term fundamentals which drive demand being an acute shortage of affordable housing remains very strong across several geographic regions in Canada and the U.S. Our precision manufacturing and engineering business line is expected to improve from a revenue and profitability perspective for the remainder of the year compared to the prior year. We're seeing strength across various sectors, including defense, telecommunications, technology, resource and data centers. We are anticipating growth capital expenditures to be incurred in each of the business lines, but that should be relatively consistent with the prior year. The growth capital expenditures in the Environmental Access Solutions business line will depend on the market dynamics as they continually reassess their fleet based on expected market conditions, but we do expect an investment in fleet along with the buildup of mat to realize those opportunities for the latter part of 2025 and into 2026. I'll now pass the call back to Mike.
Michael C. Pyle: Thanks, Travis. I'm very excited about our future. We are guided by our past values and our various business lines are set up to realize significant tailwinds for the future. We have the right collection of businesses, the right management teams and our 20-year past provides evidence on our ability to strategically execute on those opportunities as EIC as a company is characterized by resiliency and stability and our record results and outlook for 2025 is a continuation of those trends. Before we move on to questions, I'd like to take a brief moment to thank Carmele Peter for her work at EIC. Over a year ago, we announced that she would be retiring from management and moving to our Board of Directors. From that time, along with Adam and our team, she was leading our investigation and negotiation of the Canadian North acquisition. She agreed to stay in our President's role until the deal was completed or abandoned. The Canadian North acquisition was completed effectively July 1, along with the negotiation of a long-term contract with the government of New shortly thereafter. As per her usual performance, along with Adam and the team, she all expectations on getting this transaction closed. This acquisition will drive our growth in 2026 and beyond. Carmele, thank you for all you have done for EIC during your time here as President. Your contributions have been fundamental to our success. Carmele's responsibilities have been absorbed by our senior team, including Jake, Travis, Adam, Darwin, and Rich. I am pleased to announce that Jake, who has served as CEO of PAL during its period of rapid growth has moved to EIC as our new President; and Calvin Ash, a long-time executive of PAL, has taken over as the CEO of the PAL Group. The strength and depth of our management team are very important during senior management retirements. Our focus on succession planning has served us well. Thank you for your time this morning, and we'd now like to open the call for questions. Operator?
Operator: [Operator Instructions] [Technical Difficulty] Your next question comes from the line of James McGarragle from RBC Capital Markets.
James McGarragle: Are you guys able to hear me?
Michael C. Pyle: James, we can hear you. I'm glad someone got through. You can ask lots of questions.
James McGarragle: Yes. So congrats on a great quarter and Jake, congrats on the new role. But I just wanted to ask on the Canadian North deal now that it's closed. Can you just give us an update on the CapEx plans for the rest of the year? Just want to get a sense of how we should be modeling that for the rest of 2025 and into 2026.
Michael C. Pyle: That's a really good question. When we announced the deal, we said that it was going to take us probably through the end of next year to get to our 15% return threshold, and that was based on 3 items. One was getting the revenues where we needed to get them for the business to be profitable. And we're very pleased that we signed the long-term contract with the government of Nunavut. So we have a tick in that box sooner than we thought we would. Second piece is taking some costs out of the business by utilizing best practices with our aviation businesses. And we're underway on that. We've had early wins. Rich and his team, for example, have negotiated a new credit card agreement, which will save us $1 million a year. So they're not all that fast, but -- and we're changing things. Calvin and his team are looking at combi, looking at how we run our routes. We have a regional one by our parts. So over the next sort of 1.5 years, you'll see the costs come down. And then finally, the main piece to getting to 15% was we knew going into this transaction that there was a bunch of maintenance capital work, particularly some engines that needed to be overhauled. And you will see much higher than normal maintenance CapEx over the next 4 quarters in particular. Quite frankly, we thought about how we might work that into the purchase price by increasing the purchase price and having the vendor give it, but we weren't sure we could get the work done in time. So when we looked at the purchase price, there's effectively part of what we're paying is some extra maintenance CapEx in the first part of what we see. So you'll see higher than normal maintenance CapEx for the next year or so as I don't want to say catch up because that implies that Canadian North were doing their maintenance CapEx and they most certainly were just by happen stance and how things come together, there's a lot of overhauls and engine overhauls that need to be done. So you'll see that upfront. But I'm pleased to say that the operating performance is ahead of our modeling significantly because of the early cost savings and the new contract with the government.
James McGarragle: Okay. I appreciate the color. Then you've been flagging in the past couple of quarters some opportunity to redeploy some assets from BC into the Newfoundland deal as you get some of these aircraft, it seems like these aircraft are coming in the back half of the year. So should we expect a pretty sizable improvement in margin in the next few quarters? Obviously, for 2025, that's going to be reflected in the updated guide. But is there an opportunity to kind of continue to drive some improvement there into 2026?
Michael C. Pyle: Yes. Your general statement is correct. The -- with Newfoundland, the fact that we're using other planes changes our return on capital more than it changes our margins per se. Like as we -- as that contract goes into effect and we use assets we already own, we're going to earn a return on things without having to expand new capital. So that's exactly what we were looking for when we got the contract in BC because the fleet there was perfectly fine. The government wanted new aircraft, Jake?
Jake Trainor: Yes. And James, just to give you a little more color, there's going to be some aircraft modifications needed just for configuration changes as they come out of service from BC and go into service in Newfoundland, which you won't see them start to contribute until early '26.
Operator: [Operator Instructions] Your next question comes from the line of Chris Murray from ATB Markets.
Christopher Allan Murray: Hopefully, you can hear me okay. So just turning back to the guidance, the $35 million increase in the guidance. If you could maybe help us understand how that comes together. How much of that is the contribution from Canadian North -- how much of that -- it looks like some stronger margins in the aviation businesses, maybe offset a little bit by manufacturing. So maybe you can just give us some color on how to think about how that stack lines up.
Michael C. Pyle: Yes. Most of the increase would be explained by Canadian North. The number would have been bigger, quite frankly, Chris, if it weren't for the continued forest fires. We've had some of our biggest communities in Northern Manitoba empty for 3, 4, 5 weeks. And when that's the case, we aren't flying there. So that $35 million would have been -- would have had at least a 4 is the first number if we had anything remotely close to a normal forest fire year, -- this is a year like we've never seen before in the 50 years of operating in the North, so 50 years plus. So to circle back to your question, it's general strength in our overall business, offset by the forest fires and then most of the growth would be coming from Canadian North.
Christopher Allan Murray: Okay. That's helpful. And then turning back to Canadian North. Maybe this is the uncomfortable question, but part of the thought process, I think, or at least as outside reserves when we saw Canadian North merge with First Air, there was a bit of a discussion about how effective that has been. I know you -- I'm kind of thinking about your path forward. I know you talked about some SG&A costs, things like the credit cards. It seems like there's a maintenance bulge in there. But can you talk about streamlining kind of the operation? And I appreciate it's sensitive given a lot of the moving parts here. But can you just talk a little bit about your opportunity to drive some of these costs out of the business? And when you talk about the reduction below your kind of 15% threshold, is that really tied more to kind of, call it, an EBIT margin? Or is that tied more to like the fact that you're going to be higher -- just higher CapEx do? I'm just trying to understand the kind of the balance of where the issues lie.
Michael C. Pyle: Yes, that's a really good question. So let's break it into pieces. The operating improvement was going to be driven by revenue and that box is ticked. -- we don't intend to make material changes to passenger prices for the general public. The government contract had not reflected changes to aviation inflation for a significant period. So that's caught up in that contract. So that piece is looked after. The operating improvement then is based on costs. And I would again break that into 3 pieces. There's kind of the G&A improvement and things like the credit card, but that's just an example. There's streamlining some of the accounting systems and sort of bringing them in line with EIC standards, which will make some more effective -- the next big one we'll achieve later this quarter is moving them on to our global insurance plan, which as a group, we buy at much cheaper prices than smaller airlines do. And then you will see the next piece will be the purchasing of parts through Regional One, taking advantage of our group buying capability, which will drive down their operating costs. And then the last piece, which is the part that's slightly more complicated, will be moving their fleet from pure freighter and pure passenger aircraft to a combination of combi aircraft and pure freighters. There are certain markets that will always require pure freighters. But most of the places that fly out of the Eala could be more effectively serviced with a combination of passenger seats and freight on each plane. So we don't need to buy new aircraft or anything. You don't need to worry about big capital expenditures. But we will need to take some time to adapt the aircraft and make changes to how they're configured. That's a relatively modest expenditure, probably more in the hundreds of thousands or million dollar range than anything significant, but it will take a while, and it will take some changes in how we route the aircraft and those things. So that will take a slightly longer period. And then because of the maintenance CapEx, we knew about that is going to be higher in this period, that delays our 15% return simply because the way we define that is EBITDA minus maintenance CapEx and maintenance CapEx will be high for the next few quarters. I would say we're ahead of track on the EBITDA part of the game. Our operations, I would say, are improving more rapidly than we anticipated in our business model. We've got some great people at Canadian North who are eager to take advantage of some of our buying power and some of our opportunities. And the CapEx will take care of itself over a reasonably modest period.
Adam S. Terwin: And Mike, one thing I might build on Chris' question there. And Chris, it's Adam. And I think you hit on accurately just going back to the history and the fact that there was a merger that was right after the merger, COVID happened, and I think it's been fairly well known there was some changeover at the CEO level. So the fact that the merger happened and then COVID and a little bit of instability at the top, bringing the 2 airlines together probably what's challenged. And to your point, there is opportunities now with EIC's expertise, long-term ownership and the fact now that we have this long-term agreement with the government of Nunavut helps for long-term planning that there is also that ability to also drive additional synergies within that operation. So that -- to your point, there is that opportunity as well.
Christopher Allan Murray: Okay. And then just maybe quickly, Mike, historically, when we think about maintenance CapEx as a proportion of revenue in the aviation business, we've always thought -- we've always sort of seen it on average and yet it can be lumpy, but about 12% of revenue. Is that what we should be thinking? Because I appreciate these are all 737-200s and larger aircraft, but is that about the right level of magnitude to think about as you get to that 15% number?
Michael C. Pyle: Yes. It will vary period to period. Their maintenance CapEx as a percentage of revenue should be very similar to what we experienced in our other airlines. They -- in addition to the 737s, they operate a significant fleet of ATRs and which are exactly the same aircraft. In fact, actually a slightly newer version of them that TomAir operates. So your thought process is correct, although it will be higher than that over the next 3 or 4 quarters, while certain things are done. We tend to want to do things earlier rather than later. And so we don't have aircraft out of service during busy periods. And so with our capital structure, we can do that. I don't want anyone walking away with maintenance CapEx is going up if they weren't doing the maintenance. No, that's not the issue. The thing was there's just a whole bunch of things by timing that engines can't do at the same time and where they may have been leasing a replacement now we're going to actually overhaul it and replace it or buy a new engine. So we knew about that upfront. And in our mind, it was part of the $200 million in addition to the $200 million we were paying. And when you look at -- even with just the early stage 6-month number that most of that increase relates to Canadian North, you can see that the EBITDA multiple we purchased this was very attractive.
Christopher Allan Murray: Okay. That's helpful. And if I could just squeeze a third one in. You did make the comment, I think, in the script that you'll be looking at a new factory for the matting business that's going better and sort of the decision has been made to go ahead with that. Can you kind of give us any update on expectations of where that should be cited? And any expectations for capital spending as we go into next year?
Michael C. Pyle: The idea is it's going to be in the Southeast U.S. We're still working between -- there's really kind of 4 states at this point we're looking at. It could be in Florida with the other plant. It could be in Texas, and it could be in Alabama or it could be in Mississippi. Those are the 4 places we're down to. Give me one more quarter to give you a budget for it because what we're really working on right now is how big a plant do we build. do we build this so that we can expand it again without moving. And I think that's where we're going. So it's hard for me to give you a budget because we're still working on the business model. But I would hope by the time we report in November, we'll be able to tell you that we set up a location. We signed some purchase orders, and we've got a budget, and we'll be able to give you a rough start-up date as well. But in rough numbers, we think it's at least an 18-month project to get the plant up and running. It could be as long as 2 years, depending on what the wait times are for some of the equipment. It's very unique, very heavy pressing equipment to make the composite mats. So I wish we could -- could operate it tomorrow. The demand is there and demand is not going anywhere. So we're prepared to make the investment. We just want to make sure we do it right. It's a big investment for Spartan.
Operator: [Operator Instructions] And your next question comes from the line of Cameron Doerksen from National Bank Financial.
Cameron Doerksen: Just a follow-up, I guess, on Chris' question just on the matting business. Obviously, it sounds like Spartan mat's doing very well. In your prepared remarks and in the MD&A, there was also some commentary about the Canadian matting business and we struck a little more optimistic tone on increased activity there. Can you just maybe discuss the visibility you have on how that business is looking over the next number of quarters?
Michael C. Pyle: Yes. It was slower in Q2 than we would have anticipated because of the delay of some of the newer projects, particularly some of the pipeline and transmission line integrity work that we do in the East. It was postponed. We're starting to see that start in the third quarter. But the sheer number of projects that are under consideration and are going to get in the ground over the next 6 months, 12 months is remarkable. Hydro One has talked about, I forget was the second new distribution lines they've got to build. They're talking about this natural gas work. There's oil and gas pipelines, there's oil and gas digging. There's -- I mean, it's virtually all parts of the linear part of that business are bullish in the medium term. It's still going to take us whether it's the end of this quarter, beginning of next quarter, and we'll start to see that stuff go. And a lot of it is tied kind of in with the infrastructure work that our Prime Minister has talked about. But it's beyond that, it's utility work, even in Manitoba and Saskatchewan, Manitoba Hydro has announced a major program working on maintenance of the 2 bipolar lines, which will create work. There's work in Saskatchewan. There's work in BC. We're very bullish about the medium term on that business. Again, it's probably not a Q3 hit, but they'll start later in the year and into next year. And the medium term looks great in Canada, which matches what we're already seeing in the U.S.
Cameron Doerksen: Okay. That's super helpful. And maybe just a second question for me. Just, I guess, on the aerial surveillance opportunities. I mean you mentioned, I guess, a Q3 decision, hopefully here on the Australian contract. Can you just maybe discuss, if you can, any more details on what other opportunities are out there? I mean, I'm thinking also potentially in Canada with increased defense spending and focus on the north, there's potentially some opportunities for that business there as well.
Michael C. Pyle: I have to be careful about being too specific because there's negotiations ongoing on a number of things. But I will say that we've spoken in the past about inquiries in Gerland, inquiries from other countries in Europe, discussions with the Canadian government about additional work for them. I'd point out we've had to work on the coasts of Canada for 40-some years, just recently extended that for another long-term contract, where we will discuss about other work with the government of Canada. And there's other work potentially down in the Southern Pacific other than the Australian contract. And so I'm concerned sometimes that because of the size of the Australian contract, the discussions get somewhat fixated on it. And that's a hit or miss either we win or we don't, but it's one contract. It's the biggest one, but there's opportunities all over the place. I'd be very surprised if we don't announce some successes before the year is over. Now those are things that are unlikely to impact this year's revenue. By the time we win the contract and buy the parts and those kinds of things. But we are very active in a number of markets. Jake, is that miss anything?
Jake Trainor: Yes. No, that's fair. And unfortunately, instability in the world drives the demand for the type of services we provide through the surveillance work. And there's robust pipeline and inquiries from just about every geographic region we're operating in.
Operator: And your next question comes from the line of Krista Friesen from CIBC.
Krista Friesen: Congrats on the quarter. Maybe if I can just follow up on the matting questions there. It certainly sounds like a lot of opportunity in Canada. How do you feel about your supply of mats and being able to keep up with that demand?
Michael C. Pyle: We are currently managing production so that we don't buy them too soon. One of the advantages that we have at Northern Mat is because we're vertically integrated, we make our own construction decisions, and we have very strong inventory levels of timber. So we can start and stop kind of when we need to. Because Q2 was slower, we slowed our production in that period. As we see this coming, it's likely we will start up. We operate more than one facility. It's likely our second facility will ramp later this year. So I have very little concerns about our ability to have enough mats in the world. The addition of [indiscernible] has been great for us in the East. They've increased our relations with Hydro-Quebec. We sold them a bunch of mats in the last quarter. We're looking at other opportunities with them. And the one other thing I would point out that's bullish for the business, particularly once we get past Q3 is when the transcontinental pipeline was completed, there was a lot of used mats in the marketplace all over the place. And some of our competitors jumped on those and then used very cheap mats as a means to discount their way into the marketplace. And that's a good strategy for very short periods of time, but the used mats coming off a pipeline project had very short lifespan. And we're starting to see that expire. And so the relative health of our portfolio versus perhaps some of the others is going to put us in a great spot as the ramp-up comes because we'll be able to provide the mats the customers need.
Richard Wowryk: So one other things I would add is in the M&A, we talked about just some of the investments that they had made in new mat inventory during the quarter and in anticipation of mat sale demand for new mats. But if we got into a spot where the leasing demand accelerated earlier than expected, we would have the optionality to deploy those into our lease fleet or our rental fleet to make sure that we're meeting customer demands on the rental side. So that buildup and the planning that they do as a team to make sure that we're ahead of market demand positions us well for the back half of the year.
Krista Friesen: Okay. Great. And then maybe just shifting gears to Canadian North and congrats on being able to renegotiate that contract so quickly. Are there other large contracts like that, that you'll be looking to renegotiate, I guess, over the next 6 months here?
Michael C. Pyle: Not really as it relates to Canadian North. I'm excited that Dave White and the team at Keewatin are negotiating the RFP on the medevac business for Nunavut. And I'm confident that we will continue to serve as the sole provider of medevac services in the North, but that contract is under negotiation. Maybe by the time we come in November, we'll have something more to share on that. But within Calm Air or Canadian North itself, most of the stuff has been dealt with in terms of contracts. It was really the aviation inflation was so high over the last couple of years and the previous contract really didn't capture that. And the government in Nunavut is, I would suggest you, perhaps the most progressive in understanding the cost of operating in their area. And so we sat down and talked to them, we went back and forth about the best way to minimize costs and the best way to accurately forecast. But one of the things that's in this contract that we haven't had in the past that's historically been tied to fuel prices and CPI. Well, CPI can overstate or understate aviation inflation significantly. The new contract, while a portion of it or the increases relate to CPI, it's more specifically driven by aviation wages, parts costs and exchange rates. And when you put those together, what that means is that the contract will be much more dynamic, both upwards and downwards depending on what happens with aviation inflation, which means both the airline and our customer are going to be well taken care of because we don't have to have proxies. We actually have real hard numbers for adjusting the cost of the service.
Richard Wowryk: Mike, if I can just add to that, that aviation inflation formula is very, very important to this and forward-looking as this is a 10-plus 5- year contract, a couple of years extension in there. So we're really looking at the forward future of where we're going and how to have a successful contract with our partners in for a long, long time.
Operator: And your next question comes from the line of Konark Gupta from Scotiabank.
Konark Gupta: Yes, first of all, congrats to Carmele and Jake and Cal for the respective changes and the new future in the careers. So congrats. Maybe first on the capital side of things, Mike. Your business is obviously growing or expanding all across, broadly speaking. You have lot of subsidiaries that have growth aspirations and they need capital as well as you have, obviously, some of these major contracts that you talked about like Australia, for example, and some others maybe. How do you -- like I know the short answer to this, the return on investment benchmarks you have. But how do you kind of balance out or how do you kind of prioritize the capital allocation to these businesses now considering, obviously, I mean, I know you have headroom on the leverage ratio with your covenants. But I mean, you still have a lot of, I would say, like capital ask is much higher, I guess, than perhaps the cushion that you might have on the leverage side.
Michael C. Pyle: You're betting on about the demand for capital. I mean your statement is absolutely correct. But the way I would answer is our work is what fits our model, what do we want to do? And assuming we want to do it, we really don't view it as a competition between Pam's project and Richards project. They're both individually reviewed and they meet the standard. But the real test then becomes for us is where does the capital come from? How do we fund these things? And so -- which the test of that becomes our leverage ratio. And when I speak to our investors, one of the pages in our deck shows our historical leverage ratios. And we're at the lower end of our historical aggregate debt. When I talk about aggregate, I'm talking about secured debt with our bank and convertibles. We had 2 sets of convertibles that we've called that turned into equity. The next set is over 25% in the money, so it's callable at any moment. So as we need equity in the short term, the convertibles will provide that. In terms of liquidity, we have sat with our bank facility. I think I mentioned this before, but I'd be one of the few Canadian businesses that says the Canadian banks are pretty good at what they do. We're well looked after by our debt syndicate of Canadian banks and a couple of banks out of the U.S. And so we're sitting with $1 billion of liquidity, more than that -- a little more than that perhaps. And we have equity available to us from those convertible debentures when needed. And we're working on now, we will probably, at some point, get a debt rating so that if we needed to tap the bond markets in the future, we would do that. But we would only do it with our historical levels of debt. And when we talk about historical levels, I'm talking about debt-to- EBITDA ratios. -- we've been dogmatic about staying in a band. And if you look at it, with the exception of a little bump up during 2020 when EBITDA went down because of COVID, we've stayed in that band for our 20 years. We're not going to change that. So our access to capital is sufficient, barring some change to be able to fully take advantage of the opportunities in front of us. For us to continue to generate 20% plus returns for our shareholders, we need to invest capital. And so when my guys bring me good opportunities, I'm glad to give Rich the problem of which part are we going to take it out of. And if at some point in the future, we need an equity, we raise it. We've raised equity at continually higher prices over our history. The last batch, I think we did was at $52 or $53. We're now 25%, 30% higher than that, 40% higher than that. But having said all that, we don't need any equity. We don't view that as imminent or even in the medium term. But if we did, I have no reticence to do it to maintain a balance sheet. So circling back to the end of your thing, the more good opportunities we have, the better, and we'll fund it with a balance sheet that looks like the balance sheet today.
Richard Wowryk: And from our perspective, Konark, it's super exciting to see those opportunities coming up from the subsidiaries because that's part of what our secret sauce is keeping our vendors engaged and keeping them for the long term. And it's those sorts of opportunities and having the capital to deploy that keeps them excited about the business and helps us generate those returns Mike is talking about over an extended period of time. So from our perspective, seeing those opportunities come up are an extremely positive thing. And to Mike's point, we'll find out how to get the capital to make sure that we continue to generate the returns we've proven that we can.
Konark Gupta: That's great color. Makes sense.
Michael C. Pyle: Our guys who -- and this is a real-life example. The guys have proven they can invest money and grow. Regional One, we bought it did $16 million in EBITDA the year we bought it. It's going to be 10x that big this year. And that's because those guys know who the best money. So when we talked about growth CapEx being negative in Q2, pure happened stance that nothing closed in that quarter. But if you look a little deeper, we had $20 million in deposits on transactions, and I can tell you there's more coming. And so when Hank calls me and says, "Hey, I got some ERJ 175s or I got some CRJ900s or Q400s, we're glad to write the check because that just fuels our future growth.
Konark Gupta: And just on second one, maybe on the portfolio. I mean, you always have like I think the advantage or disadvantage perhaps whatever you want to call it, of a diverse portfolio is that some of the businesses will work strongly and some might be weaker for a moment and then things might flip flop, right? So I mean there's always some puts and takes. I mean if you look at the windows business over the last, I would say, 4 or 5 years, maybe or 5 years, I mean, COVID and tariffs and then like some other issues, interest rate, etc., like all those factors have had exogenous impacts on the Quest business or our windows business. At some point, I mean, like I know the demand is great and all that, but obviously, like we're not obviously seeing that flow through in the earnings, the quarterly earnings at this point, right, for the last many quarters. At any point, like would you feel like -- I mean, yes, sure demand is fine, but then this is it, and we don't probably need as big of an asset, so we need to either shrink or sell or do something. I mean, like is there a possibility at least in consideration of strategic opportunities to optimize the portfolio?
Michael C. Pyle: That -- I mean, we look at that stuff on a regular basis. And if we see that it's plateaued or there isn't something we can do it, the suggestions you make are stuff we would look at directly. We're nowhere near that in the window business. It frustrates me a little bit right now because we worked so hard to bring those plants together. We closed the Quest plant. It's now all in the DV facilities. We've done stuff that's improved our margins. And then the tariffs in the U.S. like just wiped out everything we did all at once now. So we've changed how we manufacturing. We used to be location agnostic. We built stuff for Canada and the U.S., and we built stuff for the U.S. and Canada, depending on what fit our production schedules. Well, instantly, we couldn't do that. And overnight, we have to build in the country we're using it for. So that means right now, our Dallas plant is very slow. Our Canadian plant is actually reasonably busy. And so we're dealing with those. We would do what you're suggesting, but I would tell you, we're nowhere near that conclusion on that business. And I think the best pieces I can give you is Calm Air, if you went back a decade, was my weakest airline in terms of return on capital and most of the financial metrics. If you look at it today, it's at or very near the top. And these things go through cycles. And the beauty of why EIC succeeds when perhaps some others don't is we don't have to make short-term decisions. I have more people in my windows business than I would have if I was only in the windows business. The strength of my aviation business unequivocally is subsidizing the window business right now. But at the beginning of COVID, the opposite was true. At the beginning of COVID, the window business carries some of the other assets. We don't have a lack of confidence in it. In fact, quite the opposite, I'm very confident in it. But the analysis you're talking about is done all the time. And if we need to do something, we will. Right now, we really don't see that in the future, but it is something that we look at.
Richard Wowryk: Yes. And it's not specific to the windows business, right? We understand that we are live in the marketplace and an overperforming subsidiary might -- you might need to make that assess on an overperforming subsidiary as well because someone may be willing to pay you more than you think it's worth. So it's not specific to the windows business either. But and even talked about that, Konark, like that long-term view that Mike talked about is incredibly important, whereas we are also seeing competitors fail and competitors close their plant, which improves our long- term outlook on those businesses just because they can have greater market share and greater pricing power. So we constantly evaluate each of the businesses, but that longer-term outlook provides us a significant advantage in the future.
Konark Gupta: Okay. That's very helpful color. And just a quick clarification as a follow-up, maybe on the guidance. I think you mentioned to Chris, I think the $35 million incremental would have been higher had it not been forest fires. I'm just trying to get the math right as we kind of contemplate you guys hitting $800 million EBITDA mark at some point, I guess. Are we looking at probably mid- to high 700s perhaps without the forest fires? Is that the idea? Or it would have been more or less like $5 million, $10 million more had it not been forest fires?
Michael C. Pyle: I think the forest fires are more in the $10 million-ish challenge than the other. And I know you're trying to get me to give you a 2026 number. We'll give you what in November. But I will tell you that there is embedded growth that's going to come for stuff we've already paid for. The planes that are going to come out of Carson and go into PAL are going to generate income. I've already paid for the second plane for Britain, that's going to generate income. And so I'm hoping we stay in the 700s about as long as the longer period of time as the stock stays in the 60s.
Operator: And your next question comes from the line of Gary Ho from Desjardins Capital Markets.
Gary Ho: I want to touch on M&A a little bit. I know you just closed Canadian North acquisition and several growth projects on the go. I think you also mentioned M&A pipeline continues to be active across both segments. So where are you spending your time on? And what do you get excited about? Maybe talk about preference for tuck-ins versus more platform type opportunities and maybe leverage off Konark's question there on the windows segment, if I can flip that around and that you guys take a longer-term view -- are you more opportunistic acquirers as well buying good businesses at cyclical troughs and perhaps attractive valuations? Maybe chat about that.
Michael C. Pyle: Okay. So I'll take your second question first. In terms of being an opportunistic buyer, I would tell you an unequivocal yes. We view ourselves as being independent thinkers, and we've done deals that when they first came into us, we couldn't figure out why they were a business. Regional One would be a great example of that. My acquisition fellow at the time brought it to me and I didn't have any idea why I wanted to be in that business. He was it was a good business. I turned it down. He brought it back again. I turned it down the second time and finally go beat with come with me and if you still don't like it, I'll stop presenting it to you. And I went and met with them literally 45 seconds into the discussions with Jerome and his team, I realized what a great business this was. And we are competing with private equity, we had a model of investing in that business as opposed to reaping cash out of it that made us a successful buyer. And now we look at today, and it would be 10x the size of what we bought it off. So yes, we view ourselves as opportunistic. In terms of what we prefer, whether it's platforms or tuck-ins, I'm not sure we have a preference. I would suggest to you that we see a lot more maybe tuck-ins or businesses that are tangential to what we're in. So if we found another medevac business or we saw with the parts business or when we added the glazers to our window business or if there was an aerial firefighting business as an example, that would be something we would love to have. And so most of the things we look at today tend to be related to what we do, but they're typically bigger than what I would classify as a tuck-in. Today, what we're looking at is virtually everything Adam and his team have is very related to something we have. I think I was told by a couple of my significant long-term investors when we bought Canadian North. -- that makes sense. I should have known that was coming. And I think if we're successful on some of those deals that we're working on, I think that would be the market's reaction. I would caution that there's nothing imminent. We're not like at the 10-yard line ready to score here, where Adam and his team are working hard on some opportunities and some of these projects, specifically where we're in a negotiated settlement as opposed to an auction takes some time. But we -- Adam and his team remain busy, and it's both manufacturing and aviation assets.
Adam S. Terwin: Just to build on what Mike is saying in terms of being opportunistic and being open-minded to opportunities that were not necessarily directly in that niche within the manufacturing segment or within the Aviation segment, we look to acquire a very specific type of company with a great leader and a good management team and really focus on the long-term fundamentals of that business, given our business plan to own that company for a very, very long time and also to empower the management team there. So being open-minded and opportunistic allows us to have a broader scope of those types of companies. At the same time, given some of the uncertainty that we had last year within both elections within the U.S. and then Canada this year, followed by some of the other uncertainty tied to the geopolitics and some of the economic positions, you often see that there's ebbs and flows of acquisition opportunities and what we call marketed deals coming in. Our ability to have those 2 funnels, one of the marketed deals and then one of the strategic deals allows us to be a lot more active on a consistent basis. And I'd say that one of the exciting things when we buy a new company and for that owner coming on is the idea that EIC likes to continue to grow those businesses, including strategic acquisitions. And so we're consistently working with all our subsidiaries when they view there's an opportunity to go uncover opportunities to help them expand their overall operations. And as you can see, that's what our last 4 acquisitions have been. They've been all strategic opportunities.
Gary Ho: Okay. Great. Makes sense. And then maybe just a quick follow-up. On the long-term service agreement, I think the government Nunavut has an option to purchase a stake in Canadian North. Maybe just talk about the reasoning. And do you have a preference one way or another?
Michael C. Pyle: The discussions about -- typically, a long-term agreement like that with the government in Nunavut would have been done through an RFP. And there was discussions and there was reasons for both of us to want to do it quickly. And one of the things we said, look, if you're -- we want to prove to you that we're good partners, and we're negotiating this in good faith. And part of that was if you want to be our partner, join in, you got to pay the capital like we have, and you could join. And I think the government in Nunavut took comfort in the fact that we were prepared to share the deal with them. And if the deal wasn't fair, we wouldn't have shared it. And so we aren't capital constrained. And so I don't think I would say that I want them to participate, but I'm not adverse to it. I mean having your biggest customer in a territory like that, that's going to be growing and is going to be a big part of our future strengthens our business. So I think it's really more about whether the government in Nunavut wants to deploy the level of capital they need to be our partner. And if they do, we're glad to have them. It's crystal clear in the operating agreements while they have Board representation and those kinds of things, operating control of how you run an airline lines with EIC. That's what we do. We're prepared to have a partner that we talked about things with, but operating decisions need to stay with us. Jake.
Jake Trainor: And I think it's much more indicative of the degree of partnership that we have with the government of Nunavut in developing the critical infrastructure in the North. So rather than a financial matter.
Michael C. Pyle: I think that we might have had a bigger challenge providing that option to some other provincial or territorial governments than we did with Nunavut. They are remarkably literate from an operating -- about their operating environment. They know how fundamental aviation is the go to the territory. And so they make a good partner. Perhaps not all of the territories or provinces we operate in governments are as exposed to aviation and as such would be more challenged to be a partner. Nunavut is well situated to be our partner should they choose to. I suspect that will be something that will be decided by the next government in Nunavut. They have an election coming this fall. And so I would be very surprised if any decision was made before that election, and they have a year to decide.
Operator: Your next question comes from the line of Amr Ezzat from Ventum Financial.
Andrej V: Congrats on the quarter. Just a quick one. Well, this is Andrej, first of all, on behalf of Amr. But on the Australia Maritime Surveillance bid, given the scale, what's the realistic share of the contract you could control if successful? And how do any local content requirements factor into your economics, operational structure or partnership?
Michael C. Pyle: The contract is probably -- while the government does have the right to split it, I would suggest that's highly unlikely. The technology of the aircraft talking to one another having 2 different companies with different software would be remarkably difficult. In fact, I think one of our competitive advantages is our aircraft run the same software that we own that the helicopter ISR running. So I don't think there's any likelihood that it gets split. I think it's a win or a loss. In terms of local content, do you want to take that, Jake?
Jake Trainor: Yes. I mean we have committed and required to set up operations in Australia, knowing the time and space that's not something that can be run remotely. And it will have a full operation set up to support a very significant aircraft operation down in Australia.
Andrej V: Okay. Great. And shifting to Canadian North, you pointed out in the MD&A that the Canadian North infrastructure as a potential enabler for Arctic defense and security opportunities. Could you speak a little bit more about that? And maybe from a practical standpoint, any steps you can take to monetize that?
Michael C. Pyle: Yes. I mean what you're going to see, I think, in the North is 2 main themes of growth. One is we've seen the value of critical minerals. Nunavut is blessed with a lot of them. And so as those become a strategic asset that we want to have as a country and with our NATO partners and our American partners, you're going to see development of those. Well, that means bringing in people and equipment and stuff into flying locations, which is exactly what we do, whether it's Calm Air Canadian North. And then the other piece relates more to national defense. We're going to need to build facilities in the North. We're built buying the F-35 Joint Strike Fighter. We don't have hangers for them. We don't have runways in enough places for them. And so the government is going to build those. And while I don't think we'll be hauling up a cement on our ATRs, we will be hauling up the people and rotating crews and doing all that stuff, which is going to create demand for our scheduled services. And because of the infrastructure we have there, it's exceptionally difficult for someone to do that at a better price than we can for the government simply because we've got hangers. We've got facilities. And if someone else wants to try and take that from us, their costs are going to be far higher than ours are. So we're excited about the ability to lever the government's investments in defense with our scheduled airline. And then on top of that, it's not really so much a Canadian North story as it is a PAL story, but the opportunities for other things like expanding the surveillance we do on the East and West Coast to our Northern Coast. I think there's things like that, that you will see discussions of perhaps expanding our role in the Northern search and rescue program where we already provide the maintenance and overhaul capability for the aircraft, which were recently purchased from Airbus. I think -- all of those are growth opportunities for us where we can partner with the government's intent on increasing our investment in defense and do it cheaper and faster than the government can do itself.
Andrej V: Thanks for the color. I’ll pass the line.
Michael C. Pyle: Operator, before we jump on to the next call, Steve Hansen sent me the question, which is, what's the quantum of maintenance and growth CapEx we should expect this year? I'm not sure I can answer that with a specific number other than to say, as it relates to Canadian North, the free cash flow we'll generate will be -- won't be a huge number in the first 2 or 3 quarters because of the maintenance CapEx, although our -- the EBITDA we're generating is improving and some of the cost stuff we're doing is ahead of schedule. Growth CapEx, I hope there's a lot of it. Right now, it's really limited to finishing off the purchases of the King Airs for the BC Medevac contract, which will allow us to deploy their aircraft to Newfoundland with only a cost of modifying them, which is relatively modest. And then we have significant investments Regional One for the balance of the year, and that could be in the $50 million to $100 million range, depending on which transactions we close, but there's a bunch of stuff we're bullish on. Quite frankly, that market today, it's easier to sell it than it is to buy in. And so when we get the right opportunities, we're all over them. So in general, maintenance CapEx will be heavy in the balance of this year and into next year. No surprises that was part of our due diligence. We knew that was coming. We talked about hitting a 15% return by the end of next year. We are more confident than ever that we'll do that, both by increasing revenue, decreasing costs and then ultimately normalizing maintenance CapEx over a period of time. I hope I answered what you were looking for, Steve. Operator?
Operator: Your next question comes from the line of Razi Hasan from Paradigm. Please go ahead.
Razi Hasan: Just 2 small ones here. On the windows business, is it fair to say that we should begin to see results from the $100 million in new projects you mentioned flow through in mid-2027 if the world stays the same way? Is that a fair assessment?
Michael C. Pyle: Yes. I mean each project is slightly different, but on average, that's about right. I mean the thing is $100 million is a good number for this last month or so, but we burn -- we burn that much out of our book every quarter, more than that actually. And so that -- while it's a good start and it's encouraging, we still got some work to do to get the actual order taking to where we want it to be. But it's a positive sign. And one of it was in a market, I'm not going to disclose where it was a market that was difficult in the U.S. for a period of time. So it's exciting to land a significant sale in a market that had been difficult for a while.
Razi Hasan: Okay. Great. And then maybe just lastly, on the Australian contract, I'm not sure if you mentioned, but can you disclose how many bidders were in the process or how many bidders are left or any idea there?
Michael C. Pyle: Right now, we know -- we suspect it's not a published thing. We suspect that there's about 4 bidders that we're submitting. Obviously, the incumbent and ourselves, we feel are the key challenges for this. But as I said, we anticipate there were 4 bidders.
Operator: There are no further questions at this time. I will now hand the call back to Mr. Mike Pyle for any closing remarks.
Michael C. Pyle: Thank you to everybody for joining us today. It's an exciting day. We look forward to talking to you again in November. Have a great day, everyone.
Operator: And this concludes today's call. Thank you for participating. You may for participating.